Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Third Quarter 2025 Macerich Earnings Conference Call. [Operator Instructions].
Alexandra Johnstone: Thank you for joining us on our third quarter 2025 earnings call. During this call, we will make certain statements that may be deemed forward-looking within the meaning of the safe harbor of the Private Securities Litigation Reform Act of 1995, including statements regarding projections, plans or future expectations. Actual results may differ materially due to a variety of risks and uncertainties set forth in today's earnings results, supplemental and our SEC filings. Reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures are included in the supplemental filed on Form 8-K with the SEC, which is posted in the Investor section of the website at macerich.com. Joining us today are Jack Hsieh, President and Chief Executive Officer; Dan Swanstrom, Senior Executive Vice President and Chief Financial Officer; and Doug Healey, Senior Executive Vice President of Leasing. And with us in the room is Brad Miller, Senior Vice President of Portfolio Management. With that, I would like to turn the call over to Jack.
Jackson Hsieh: Thank you, Alexandra. We had another great quarter at Macerich as we've remained ahead of schedule on our Path Forward plan and well positioned to deliver on our 2028 targets. I want to thank everyone at Macerich for their continued contributions to our success. Today, I'll spend some time on the operational performance improvement pillar of our Path Forward plan. Then I'll have Doug and Dan speak to the state of our portfolio and leasing outlook as well as the progress on the balance sheet. For the last few quarters, I've been talking about the momentum we've built up in our leasing efforts. This momentum has driven our confidence in hitting our 2028 targets and pursuing an incremental opportunity such as the acquisition of Crabtree in June. I'll update you on that leasing while also providing some additional specifics that further demonstrate how well we're executing against the plan. During the third quarter, we signed 1.5 million square feet of new and renewal leases, which is an 87% increase from Q3 2024. This brings year-to-date signed leases in 2025 to 5.4 million square feet in the total portfolio, an 86% increase compared to the same period in 2024. That is well ahead of schedule on leasing volume, and we're executing on target for our market net effective rent assumptions used in our 5-year plan. As we've stated on prior calls related to our leasing speedometer, which tracks revenue completion percentage for all new leasing activity in the 5-year plan, our initial goal for new lease deals was 70% by year-end 2025. We're currently at 70% today. Our large pipeline of LOIs puts us on track for the 85% completion target by mid-2026. Turning to the SNO pipeline. It has grown from $87 million in August to $99 million as of today, which again has put us on pace to meet or exceed our target of $100 million by year-end. With the inclusion of Crabtree, we expect a total of $140 million of incremental SNO. Of the remaining $40 million in SNO left to achieve, roughly 90% is in our A, B and C rated spaces. Another way to look at it is that 68% is in our fortress or fortress potential properties. In our Path Forward plan, the strategy around new deals is to improve permanent occupancy, which will enhance our thriving retail centers. We believe these new leases will improve merchandising mix, which improves traffic, generates higher sales and better productivity. This positions our portfolio to drive increased rents in 2028 and beyond once we have all the work done. In a moment, Doug will highlight several of the examples of our recent deals with retailers who are already having a tremendous positive impact on our centers. New deals approved by our Executive Leasing Committee, which reviews and approves deals on a biweekly basis, is up 61% from the same time last year, and is more than all of the new deals approved in 2024, affirming the health of the overall retailer landlord environment for best-in-class centers. We are also making tremendous progress on our anchor leasing initiatives. We have 30 anchors targeted to open between 2025 and 2028, of which 25 are committed to sporting goods, fashion, entertainment, grocery and other retail uses. Re-leasing these vacant anchors is an important part of our Path Forward plan as they help with the permanent leasing in their respective wings, improving the merchandising mix and most importantly, driving customer traffic and dwell time. As I've said in the past, I'm really excited about what we're doing with House of Sport in particular. We have 9 committed locations with them. Dick's House of Sport had their grand opening at Freehold in the former Lord & Taylor Box this past Friday. This, along with the recent opening of the Freehold Athletic Club and Dave & Buster's in the prior Sears Wane joining Primark has revitalized this center. Dick's has made the rollout of House of Sport a critical component of their growth plans and have publicly stated they are creating the future of retail with this concept. They are quoting incremental traffic to a mall, in the mid-teens percentage 1 year after a House of Sport opens. And that's consistent with what we've analyzed. As I said last quarter, leasing momentum I've described today gave us the confidence to opportunistically pursue Crabtree Mall, which we believe will be a very compelling investment based on the early progress on leasing. One of the more important considerations in that acquisition was the opportunity to deploy our operating, leasing and marketing platforms to invigorate leasing momentum and drive permanent occupancy to capture the embedded NOI growth potential. I believe our team has more than delivered on that front so far at Crabtree, and we'll have more to share in the coming months. As we look ahead, we'll continue to evaluate potential new investment opportunities. That said, we'll remain patient and disciplined in terms of additional external growth. We are very focused on leasing, driving operational improvement throughout the portfolio and hitting our deleveraging targets. Doug, why don't you take it from here?
Doug Healey: Thanks, Jack. Like last quarter, in my remarks this afternoon, I'll refer to total portfolio statistics and where applicable, I'll provide the go-forward portfolio statistics as well. Portfolio sales at the end of the third quarter were $867 per square foot. That's up almost 4% when compared to the same period in 2024. However, when you look at our go-forward portfolio, sales were actually $905 per square foot. Traffic through the third quarter was flat when compared to the same period in 2024. Occupancy at the end of the third quarter was 93.4%, up 140 basis points from last quarter. The go-forward portfolio occupancy at the end of the third quarter was 94.3%, which is up 150 basis points from last quarter. And a quick update on the Forever 21 liquidation, which has been a drag on our occupancy for the past few quarters. To date, of the 0.5 million square feet that became vacant, we have commitments on 74% of that square footage. And again, with much better brands paying significantly more rent than Forever 21 was paying. Trailing 12-month leasing spreads as of September 30, 2025, remain positive at 5.9%, and this now represents 16 consecutive quarters of positive leasing spreads. In the third quarter, we opened 355,000 square feet of new stores for a total of 852,000 square feet year-to-date through September 30. And after years in the making, we finally opened our 11,000 square foot Hermès store at Scottsdale Fashion Square. Hermès, an iconic brand that is arguably the most sought-after luxury retailer in our industry, will join the likes of Dior, Louis Vuitton, Cartier, Saint Laurent, Versace, Prada and Brunello Cucinelli, just to name a few. This is Hermès’ first store in Arizona with its closest being in Las Vegas. The addition of Hermès now unquestionably makes Scottsdale Fashion Square the primary luxury destination, not only in the Scottsdale market, but also in the entire state of Arizona and at the same time, making Scottsdale one of the most important luxury addresses in the United States. We also opened a 42,000 square foot Level 99 at Tysons Corner. For those not familiar, Level 99 is the first-of-its-kind entertainment destination for adults, featuring real-world interactive social gaming with over 50 physical and mental challenge rooms. Already being considered best-in-class in the entertainment category, this will be Level 99's third location in the United States behind Natick, Massachusetts and Providence Rhode Island, with many more slated to open in the next several years, including Walt Disney World in Orlando, Florida. Level 99 joins Heidi Lau, Cheesecake Factory, Maggiano's, Coastal Flats and Seasons 52 as we continue to reimagine and remerchandise Tyson's East End Entertainment wing. Turning to our lease expirations. As of September 30, we had commitments on 94% of our 2025 expiring square footage that is expected to renew and not close with another 5% in the letter of intent stage. In terms of our 2026 expiring square footage, we have commitments on almost 55% of our expiring square footage with another 30% in the letter of intent stage. So, as I mentioned last quarter, we're basically done with 2025 and in very good shape with our 2026 business. In fact, when looking at our 2026 expirations, we're significantly ahead of where we were at this time last year when we were dealing with our 2025 expirations. As Jack alluded to in his earlier remarks, the retailer environment, tenant demand remains strong, even despite the noise of politics, uncertainty in the macroeconomic environment and the pending tariffs. And this is not just me telling you this, but rather it's evidenced by retailer activity in our portfolio. Legacy retailers are reinventing themselves and coming up with brand extensions to meet the demands of consumers. One of the best examples is Gap and how they've adapted their brands and merchandise to once again become one of the most relevant retailers in our industry. And as a result, their open-to-buys have significantly increased. Other examples include American Eagle, which is expanding and opening new stores and their brand extensions, Aerie and OFFLINE are doing the same. J.Crew is rolling out their factory concept as well as Madewell. And Levi's is doing the same thing with Beyond Yoga. JD Sports has caught fire in the U.S. and is on a major rollout as are Coach, PacSun and Abercrombie & Fitch, just to name a few. And then you have the emerging brands, many of which are rapidly opening stores to support their online business. Examples include Pop Mart, Rowan, On Running, Cider, Addicted, Princess Polly, Brandy Melville, Skims, and many, many more. And as Jack also mentioned, there's Dick's House of Sport, one of the greatest big box concepts in recent history. Dick's has reimagined the sporting goods business and will ultimately redefine the entire category. So, my point here is this. never has the depth and breadth of retailer demand across all categories been what it is today. And to me, that speaks not only to the strength of our portfolio, but importantly, to the health of the Class A Mall Sector across the country. And with that, I'll turn the call over to Dan to go through our third quarter financial results.
Daniel Swanstrom: Thanks, Doug, and good afternoon. I'll start with a review of third quarter financial results. FFO, excluding financing expense in connection with Chandler Freehold, accrued default interest expense and loss on non-real estate investments was approximately $93 million or $0.35 per share during the third quarter of 2025. Similar to the last few quarters, I would like to highlight the following item included in our FFO adjusted for the quarter. $7.5 million of interest expense relates to the amortization of debt mark-to-market resulting from our various JV interest acquisitions. As a reminder, this noncash expense is included in interest expense. Go-forward Portfolio centers NOI, excluding lease termination income, increased 1.7% in the third quarter of 2025 compared to the third quarter of 2024. Year-to-date, the go-forward portfolio centers NOI has increased almost 2% compared to the same period in 2024. Turning to the balance sheet. We continue to make strong progress on the balance sheet initiatives contained in our Path Forward plan. We have only one remaining maturing loan in 2025 for approximately $200 million on our South Plains property. We expect this loan will be in technical default at maturity as we continue discussions with the lender to obtain a potential loan extension. We do not have any additional commentary at this time. We're continuing to proactively address our remaining 2026 debt maturities through a combination of potential asset sales, refinancings, loan modifications or property givebacks. In fact, over the course of the last year, we've paid down almost $1 billion of debt that had a 2026 maturity date, including most recently approximately $350 million of repayments through the combined sales of Lakewood and Atlas Park. We currently have approximately $1 billion of liquidity, including $650 million of capacity on our revolving line of credit. From a leverage perspective, net debt to EBITDA at the end of the third quarter was 7.76x, which is a full turn lower than at the outset of the Path Forward plan. And importantly, we've outlined our strategy to further reduce leverage to the low to mid-6x range over the next couple of years. During the third quarter of 2025, we sold 2.8 million shares of common stock for approximately $50 million of net proceeds through the company's ATM program at a weighted average price of $18.03 per share. While our recent acquisition of Crabtree Mall is expected to keep the company within its previously stated deleveraging targets under the Path Forward plan, these ATM proceeds bring the Crabtree acquisition closer to being leverage neutral as it relates to our goal of low to mid-6x target leverage. We are making substantial progress in executing on planned dispositions as part of the Path Forward plan. In July, we closed on the sale of Atlas Park for $72 million. We used our 50% portion of the net proceeds from this sale to repay our 50% portion of the $65 million loan on the property that had an effective interest rate of over 9% and a 2026 maturity date. In August, we closed on the sale of Lakewood for $332 million, including the assumption by the buyer of the $317 million loan on the property that also had a 2026 maturity date. In August, we also closed on the sale of Valley Mall for $22 million. This asset was unencumbered. These sales transactions are consistent with our stated disposition plan to improve the balance sheet and refine the portfolio. We have made substantial progress on the sales and giveback component of the plan and have identified a clear path to achieving our $2 billion disposition target. To date, we have completed almost $1.2 billion in mall dispositions. And as you will see in the disclosure we've provided in our supplement, this includes Country Club Plaza, Biltmore, Southridge, The Oaks, Wilton Mall, South Park, Atlas Park, Lakewood Center and Valley Mall, all of which are now closed. This total also includes Santa Monica Place in which the loan encumbering this property is in default and the property is in receivership. In addition, we have identified internally several additional Eddy assets for sale or giveback over the next year or so, which would increase total mall dispositions to the $1.4 billion to $1.5 billion range. The remaining dispositions in our plan represent the sale of outparcels, freestanding retail, non-enclosed mall assets and land. As you will recall, our 2025 goal for this bucket of dispositions is $100 million to $150 million in total sales for the year. I'm pleased to report that we currently have approximately $130 million sold or under contract against this target. Year-to-date, we have now closed on land sales for $55 million at our share and various outparcels assets for $11 million at our share. And we currently have approximately $15 million of additional land sales and approximately $50 million of additional outparcel sales under contract for sale. We continue to expect to be substantially complete on our $2 billion disposition program by the end of 2026. We'll provide further updates on these sales as we progress through the year. In conclusion, we are making great progress on our Path Forward Plan objectives to reduce leverage, to refine the portfolio and to strengthen the balance sheet. With that, I'll turn the call back over to the operator.
Operator: [Operator Instructions] And our first question will come from Vince Tibone with Green Street.
Vince Tibone: I just wanted to follow up on the equity issuance here. I totally understand the deleveraging goals, but the prior equity raise is closer to $20. I know you're very bullish on the stock over the intermediate term. So, I guess kind of what drove the decision to do $50 million here? And then also, should we expect further ATM issuances over time? Or was this kind of more of a 1 quarter event to get let Crabtree more leverage neutral?
Daniel Swanstrom: Vince, this is Dan. I'll start and then Jack can chime in. I think the main objective in the third quarter was to make Crabtree leverage neutral, as I mentioned. Going forward, we'll continue to evaluate the ATM use in the context of accretive growth like Crabtree. We'll continue to be thoughtful and disciplined in our approach and evaluation. We've completed the equity issuance portion of the Path Forward plan. And I know Jack's previously said we would consider equity outside of the plan in the context of these type of acquisition or large capital projects that are accretive to our 2028 Path Forward Plan targets.
Vince Tibone: No, that's really helpful. And then maybe my next one, just switching gears. I just wanted to clarify on the SNO pipeline, you highlighted $6 million of that was related to Crabtree. Was that all incremental leasing at Crabtree since August? Just wanted to confirm that wasn't leases that were in place when the mall was acquired back in the second quarter.
Daniel Swanstrom: Yes, Vince, if you recall, when we acquired it, it was 11% going-in yield, but with in-place SNO, it brought it up to about 12.5%. So it's really a combination of what was in place at the time of acquisition plus incremental leasing by the team since we've taken ownership. Are you able to parse those 2 just because I think it would be helpful to kind of isolate what, how much leasing took place kind of over the last 3 months if you have it handy.
Jackson Hsieh: Vince, we can follow up with you afterwards. But I would tell you that there's a lot of good progress on the leasing front in terms of deals that have been approved and run through our committee. We've made, we've signed some deals actually already. So we've got others in process. So we'll give more update as we make more progress.
Operator: And the next question will come from Samir Khanal, Bank of America.
Samir Khanal: I guess, Doug, maybe talk about the '26 expirations. You talked about the commitments on the 55%. I think it was another 30% on the LOIs. Talk about the economics on those deals, the pricing, kind of the spreads you're seeing on those versus maybe the '25 expirations.
Doug Healey: Samir, yes, you're right. We. I think in my opening remarks, we said 55% of our expiring square footage and 30% in the letter of intent stage. So we're basically trading paper on 88% of our business in 2026. And to put it in perspective, and I mentioned this earlier, at this time last year, we were only 23% committed when looking at our 2025 expiration. So we're way ahead of where we were last year. And as with our new deals, our renewal deals, both in '25, '26, and we're going out to '27 is all at or mostly all at or above our target market rents that are in the 5-year plan.
Samir Khanal: Got it. And then I guess, Jack, just turning over to you on this $100 million of SNO pipeline, which is you're tracking ahead of kind of your budget here. You talked about the $130 million opportunity without Crabtree, $140 million with Crabtree. Given the momentum that you have in leasing here, as you saw through the last several quarters, is it fair to assume you're tracking to exceed the 140 at this point?
Jackson Hsieh: It's possible. It really is because I think we can probably be more thoughtful or be more price sensitive on renewals as well. I mean we're seeing momentum across the board, as Doug said, on new and renewals that we're approving and signing from a net effective rent standpoint. We also had, if you recall, reserves built in the plan. So we're trying to, as we continue to gain more momentum to lease additional space that we didn't really believe we could lease, that's, I think that gives us an ability to kind of exceed that 140 target as we continue to make progress.
Operator: And our next question will come from Michael Griffin with Evercore.
Michael Griffin: Just wanted to get some color around these anchor leases that you've got expected to commence over the next couple of years. Should we think about the cadence of that being more back half weighted to '27 or '28? Do you think some will commence next year? And then can you give us a sense of how the capital costs are going to be associated with commencing those leases?
Jackson Hsieh: Yes. I think like a safe assumption is back half of '27, early part of '28 when these actually open, the large majority of them. Now we're able to obviously lease in line once we've got commitments as we go through our leasing efforts within the malls itself. As it relates to economics, I think we've given commentary around in-line deals, tenant allowance being something typically into 1 to 1.5x annual rent in the form of tenant allowance. For anchor transactions, it's more. It really depends on the nature and the type of tenant. Dick's House of Sport, they're great. They're not cheap. They're definitely more than 1x. I'll tell you that. But each deal is different, and they're different depending on the center, where they are in the market. In some of the deals, we've structured them as opportunities for them to purchase some of the vacant anchors. Others are leasehold lease deals where we're providing a fairly meaningful tenant allowance as part of their commitment to open. So I wouldn't say there's like a rule of thumb. And if you look at other large tenants that we deem as demand generators, I would say the Dick's deals are probably on the higher end of what they, in terms of landlord costs. But obviously, we believe that they drive tremendous incremental mall traffic. We certainly analyzed it, and we believe that they'll be very successful like what we've seen early days at Freehold.
Michael Griffin: Jack, I appreciate the color there. And then, Dan, I know you're not going to comment on specifics around South Plains in general, but can you give us a sense of sort of what the lender appetite is like for these non-Fortress or non-Fortress potential assets if you were to choose to refi them? And then any sense on interest rate you could get if you decide to go down the path of refinancing some of these assets?
Daniel Swanstrom: Yes. I mean, look, it's really case by case based on the assets. Obviously, we don't want to comment on South Plains in particular. But I think we've all seen a very constructive debt financing markets across not just Class A assets, but more recently going down in the quality spectrum. So I think the market is open for refinancings, but it's case by case really based on the specific asset.
Operator: The next question will come from Linda Tsai with Jefferies.
Linda Yu Tsai: In terms of getting to $100 million in SNO by year-end potentially, could you also provide the timing of when that comes online?
Brad Miller: Sure. This is Brad Miller. I'll take it. So of the $100 million, $20 million will come online in 2025, and the rest will come on in 2026 and thereafter.
Linda Yu Tsai: Got it. And then with 30 anchors targeted to open, how many other anchors are you still trying to lease up?
Jackson Hsieh: Yes. So, I think we have 25 committed, 3, we have papers trading LOIs out and then 2 are in prospecting stage. There are some other anchors that are in the portfolio, but those are kind of in like giveback assets. And so, the totality of what we're referencing are anchors in our go-forward portfolio.
Operator: And our next question comes from Floris Van Dijkum with Ladenburg.
Floris Gerbrand Van Dijkum: Question on the opportunities out there for additional malls like Crabtree. What are you guys seeing? And what is the financing appetite for those kinds of properties, the A minus assets in your view, it's, can you borrow at under 10% on a secured basis now? Or where are borrowing costs trending for those kinds?
Jackson Hsieh: Floris, I'll take the front end, and I'll let Dan talk about the financing. But we're quite happy and excited about Crabtree. We think it's a unique asset in a unique market. We've got quite a significant amount of leasing demand and interest and tours that have been happening since we bought the asset. The asset needed capital. We've already repainted the interior. We've got mockups on rails and lighting already put in place, plans to do wayfinding and work on bathrooms and do some maintenance and improvement on the parking areas. I mean that's a unique asset. Just it's like you put a little bit of capital in there. I think a lot of tenants got very excited with us stepping in long-term owner operator in the mall space. And so I think it's a great rally opportunity for us to generate a lot of really good return. Look, we're looking for other, we're evaluating other opportunities. I can just tell you, we don't have anything that sort of satisfies us, I would say, imminently or in this quarter at this point. But I think in time, more of these opportunities have come up as loans go either into receivership or special servicing. I mean you've got to have a capital commitment and a plan to really get these centers to go in the right direction like a Crabtree. And so I suspect we'll see more opportunity as we roll into 2026 and 2027. I mean I think you know us from a, when we think about acquisitions, you can look at our overall capital allocation progress year-to-date since I've been here, we've sold $1.2 billion of centers at about an 8 cap. Why do we sell them? A, they were either noncore, took too much capital to achieve driving centers that would satisfy IRRs and return on investment for us. You saw us buy out our partner on the PPRT JV, which included Lakewood, Los Cerritos and Washington Square. That was done at a low 7 cap, but really critical properties that we couldn't refinance anything. We had the Dick’s; we had the Sears. We own the Sears locations in both Los Cerritos and Washington Square. So, there were a lot of strategic reasons for us to gain control of that asset to effectuate the business plans, which we will be able to drive leasing and anchor decisions in a couple of our best centers. And then we showed the example of Crabtree. So, look, bottom line is we're going to look at opportunities that are accretive to our 2028 FFO per share, where we believe we have the ability to drive incremental leasing and NOI growth that can generate strong IRRs and return on investment. And I'd say we're very disciplined about what we're looking at. So, and then Dan, I think you can comment. The financing market has really improved for these assets.
Daniel Swanstrom: Yes, that's right, Floris. We're seeing a very improved financing market for these types of assets. In fact, look, for us, in August, we were able to close on about $160 million term loan on Crabtree, which was well inside the 10% that you quoted. Our loan is at an interest rate of SOFR plus 250. And this particular term loan gives us tremendous flexibility. It's got 2-year term plus 2 1-year extension options. So, we have flexibility to prosecute the asset management plan with this structure. And we also were able to negotiate an early prepayment without penalty if we chose to do that. So, a lot of flexibility on our loan, but certainly well inside the 10% you quoted, SOFR plus 2.50% in kind of the mid-6% range.
Jackson Hsieh: And I'd say like, Floris, if a private buyer wanted to get leverage, they can get investment-grade debt securitization and there's more Mezz opportunity out there. I think you saw the recap on NorthPark Mall. They got pretty good levels on that refinancing to take out their partners. So, I think the financing markets and the Mezz markets are improving quite a bit as we speak; malls that have the right operator, have the right capital commitment and the expertise to kind of get it done.
Operator: Our next question will come from Ronald Kamdem with Morgan Stanley.
Ronald Kamdem: Just on the go-forward portfolio, just quickly on the same-store NOI in the quarter, any way to sort of quantify sort of the drag from either Forever 21 or proactively taking on space? Just what that sort of did to that same-store number? And if I could ask quickly as well, just that occupancy of 94.3% in your mind, what do you think is sort of peak occupancy for that portfolio?
Daniel Swanstrom: Ronald, this is Dan. I'll start on the first point on NOI. Again, just recall, 2025 is a transitional year as we're executing on our re-tenanting initiatives across the portfolio, and we have some frictional downtime. The second half of '25, to your question on Forever 21 is also impacted on a year-over-year comp basis. So near term, there's an impact. But as Doug indicated, longer term, a significant positive with higher quality tenants and our ability to double the rent in those spaces when the backfills come in. But our 1.7% growth, if you were to adjust for Forever 21 would be closer to 3% plus for the quarter.
Operator: And our next question will come from Omotayo Okusanya with Deutsche Bank.
Omotayo Okusanya: I know you don't have a lot of exposure to Saks as a whole, maybe like Neiman, Macy’s, Brooks or maybe an Oak somewhere. But just curious how you're kind of thinking through the situation there, just given some of the media speculation about some difficulties that you're dealing with.
Jackson Hsieh: Yes. Obviously, we're not going to comment specifically on the tenant. I think you referenced Saks Fifth Avenue, right? So, we have, I think we have one at Fashion Outlets of Chicago. Yes, we can't talk about a specific tenant basis.
Operator: And our next question will come from Haendel St. Juste with Mizuho.
Haendel St. Juste: I wanted to go back to the portfolio sales, saw the productivity continues to get better here. Maybe some more color on the categories, the regions driving this and give us some color on foot traffic and sales throughout the quarter and the back-to-school season and expectations for the holiday season.
Jackson Hsieh: Sure. I mean, look, the strong momentum we're seeing on leasing, which is obviously really critical for our plan, it's not showing up in traffic. Traffic, as Doug talked about, was kind of generally flat. But if you look at comp sales comparing 2025 to 2024, in the third quarter for our go-forward portfolio, those numbers were 3.5% and our fortress properties, 4.8%. So obviously, the strong properties saw better performance from a '24 versus '25 third quarter basis. That's obviously a lot better than Q1, Q2. Q1, we had election, liberation day was flowing through there, tariffs, a lot of noise. So, it's really encouraging to see in the third quarter this kind of turn. Part of that is back-to-school, other factors. And in terms of categories in the third quarter, apparel and accessories, fast food, general and home furnishings and jewelry did quite well, obviously, athleisure as well. So, it feels like the higher-end customer, obviously, there's, we've got a duality lower income. I think there's obviously more challenges in the higher income customer bracket. We're seeing those categories. Obviously, the fortress is performing better than the overall go-forward that I gave you those numbers. So, I think that is sort of the tail right now. And as Doug maybe alluded to, I think the retailers are generally optimistic in the fourth quarter. They've got tariffs and they've got other things that they've got to manage with suppliers and potential price increases and other pressures on vendors. But it feels pretty good for the fourth quarter, which as the holiday season is upon us.
Haendel St. Juste: Got it. And if I could follow up one more, maybe more on the transaction market. We've seen a few more A mall trades. And I guess I'm curious what your, what you make us some of the cap rates we've seen for Brickell, Taubman, NorthPark and what you think the read-through for your go-forward portfolio is?
Jackson Hsieh: I feel like those are a little bit different. I mean, like Crabtree was an auction process. They had an institutional owner that had no debt on the property that was looking to maximize value. NorthPark was sort of like an internal JV buyout. Obviously, it was a pretty, they got great financing. It was a very exciting cap rate relative to how that might translate in our best properties. I think Brickell, I don't know the details of it, but same situation where there's a JV buyout. Obviously, the partner, Simon, they know that partner, they know the asset quite well. So, I feel like those were auction arm's length transactions, so a little bit different. But I do think that Crabtree is a good beginning comp. I think there'll be others that, others that we're not, there's other processes that we're not participating in. So that will give more insight as to where the proper levels are for what I would call fully auctioned and marketed centers.
Operator: And our next question will come from Greg McGinniss with Scotiabank.
Greg McGinniss: I was curious on that incremental rent to $99 million, how much of that is coming from the anchor spaces that you're now filling up?
Brad Miller: It's definitely. this is Brad Miller. It is, I don't have the number off the top of my head, but it is definitely a part of the $99 million, and we can follow up with you.
Greg McGinniss: Okay. And then for an asset like Fashion District, which sits into the go-forward portfolio, but there's been different plans for that asset over the years, obviously, an expensive redevelopment, bought it from your partner, hopeful for getting the arena there that fell through. Is there additional plans for redevelopment there or anything to kind of excite tenants for that asset?
Jackson Hsieh: We finally redirected leasing energy and effort on that center. We really had our hands tied because of the arena. We really couldn't do anything because it was taking up such critical space and you're trying to, you can imagine, you're trying to hold tenants together that would be potentially part of where the arena would sit and we had to move them. The teams are actually I'd say I'm cautiously optimistic about some of the early momentum that we're starting to see there. I think the mayor is very focused in this area as well, and there's efforts to try to just improve the overall area that Fashion District of Philadelphia sits in. We don't have any debt on the property. So, I think we're going to do our best to try to figure out how to create the right kind of leasing momentum and merchandising mix and really make sure that we can, with the IRRs and Return on Investment makes sense. So, we're going through that right now. I'd say it's still early days. But so far, from what I've seen from the early parts of the feedback from the teams on our quarterly asset reviews, we're finally getting after it. And I think that we can get some help from the city in terms of what their plans are for that area to try to improve it that might improve our prospects there.
Operator: And the next question will come from Todd Thomas with KeyBanc Capital Markets.
Todd Thomas: Doug, I wanted to follow up on leasing. Two questions actually. First, it looks like spreads, re-leasing spreads this quarter were down with the T12 re-leasing metric decreasing to 5.9%. You said that you're tracking ahead of the market rent projections in the Path Forward plan, but what does that mean for re-leasing spreads going forward? If you could provide some color. And then the second question, I think you characterized your commentary around the '25 and '26 expirations that have been addressed as a percent of the tenants that are expected to renew. What kind of tenant retention are you anticipating in '26? Is there anything worth calling out or noting in terms of nonrenewal activity?
Jackson Hsieh: Maybe, Doug, can take on the first part, on the re-leasing spread, we're leasing ahead of schedule, as you can see from a velocity standpoint. And as we said, we're ahead of net effective rents on new and renewal deals that we've signed up and approved. Depending on the mix of the pool every quarter, you're going to see variation on releasing spreads. I would not read honestly too much into it. We're having what I call significant increases in leasing. And the thing you want to focus on, are we on track with our speedometer ,because that's a revenue concept as it relates to completion. Are we above our net effective rent projections for each space? These are space-by-space numbers that we have throughout the entire go-forward portfolio. And I would tell you that this number is going to move around. And I wouldn't, if it's up, if it's like 15%, I wouldn't look and conclude too much into it. Depending on the nature of the renewals and what we have going into the mix at that time, it's going to influence that. So to me, the number that I focus on, are we ahead on a net effective rent basis because that's the real dollars that are going to materialize relative to the snow we're projecting and our renewals. And then Doug, you follow up on that second part of the question.
Doug Healey: Yes. No, I think you kind of hit on it, Jack. So we talked about where we were in 2025 and 2026. We're way ahead in 2026 compared to this time last year. And as part of our 5-year plan, we're really focused on 2027 and 2028 as well. We've had success getting the retailers to come to the table in order to address these future years, which I think is extremely important because it really mitigates the risk of our 5-year plan. And as Jack sort of alluded to, in terms of spreads, Todd, it's really more about hitting our market rents that are part of the 5-year plan. And I can tell you that with both our new deals and renewing our expirations, we are hitting our targets as part of the 5-year plan.
Brad Miller: To the second part of your question on tenant retention, too. I think for '26, we're expecting about 85%.
Operator: And our next question will come from Alexander Goldfarb with Piper Sandler.
Alexander Goldfarb: So 2 questions. First, just thinking about the Canadian and Mexican tourists and snow birders. Arizona, obviously, a big market. What has ultimately happened? There was concern at the beginning, towards the beginning of the year that there would be a lot fewer like Canadians coming down and maybe that would impact sales. Are there retailers seeing that play out? Or this winter is looking more like a normal one in which case your percent rents from the Scottsdale assets, et cetera, should not really be any impact? Just trying to understand if there's going to be an impact or not.
Jackson Hsieh: Look, I mean I think for sure, between ATC, the Canadians coming over, it's definitely a reduced number. We've seen it at fashion outlets in Chicago, which is typically an international kind of customer that goes in there. That being said, if you look at the third quarter, our best, the center that had the highest '25 versus '24 third quarter sales performance is Scottsdale Fashion Square, top of the list. So it's sort of, I think, I don't know if I draw too much conclusion. Our assets are pretty, they're not, I wouldn't call them necessarily tourist destinations with the exception of maybe Chicago that gets a little bit more influenced there. But definitely, there's been less Canadians coming into the country and that's, but I haven't seen a material impact in the sales performance within our portfolio.
Alexander Goldfarb: Okay. And then the second question is, Doug, you guys mentioned a lot of strength on the leasing front, and that's been a theme that we've been hearing. At the same time, there are news articles like a number of talking about like Chipotle and other brands that have been struggling because consumers have been shying away from them. So how do you guys interpret some of these conflicting signals where it would seem like the consumer is under stress, they're pulling back. And at the same time, it seems like they're still shopping the malls and the retailers remain healthy and the retailers are growing. I'm just trying to understand how to drive sort of conflicting signals between what the retailers seem to actually be doing versus some of these headlines that we read about.
Doug Healey: Yes. Alex, it's Doug. Thanks. It's a great question because I talk about all this retailer demand, Jack was talking about the leases we signed, we've talked about our executive leasing committee. And the numbers we're putting up, the metrics we're putting up are counterintuitive to everything that you read about in the paper or on the news. And I think there's a few reasons for that. One is our, Macerich has a must-have portfolio. There's not a lot of new supply, and the retailers have to expand. I mean they're taking down leases for 5, 7, 10 years, and they're sophisticated enough, they're able to see past what's going on and maybe what you're reading about in the paper. They're being very opportunistic and are using this opportunity to take down great space in great malls, all of which we have. So, and then you have the emerging brands, which I referred to. And more and more, they're coming to the plate because we know that when they open bricks-and-mortar stores, it helps their online business. It supports their online business. So there's a lot of going on right now in my world that are just counterintuitive to everything that we're reading about or hearing about.
Operator: And the next question will come from Craig Mailman with Citi.
Craig Mailman: This is Sidney McInteer on for Craig. So I know we already touched on acquisitions a bit. So maybe on the flip side for the dispositions. You've been making good progress on the asset sales with Lakewood, Valley Mall, Atlas Park. How are you thinking about the pace of asset sales moving forward? And what's the appetite like for some of the non-Fortress dispositions that you've identified in the portfolio?
Doug Healey: Yes. Thanks for the question. In terms of the remaining Eddy mall sales, we've got a handful that I indicated that are in that kind of $200 million plus range. A couple of those will be determined based on the timing of the debt maturities as they mature through 2026, and we'll evaluate in the context of a sale or in some instances, a potential giveback. Now as it relates to the outparcels, we've identified this pool, $100 million to $150 million in 2025. That pool is $500 million plus. So the majority of those remaining assets, the team is working through now in terms of readying them for sale for 2026. So as I said in my prepared remarks, I think the progress on the dispositions has been phenomenal by the team. They've done a great job across the organization with the dollars of assets sold to date, and we're on track to substantially complete the $2 billion disposition program by the end of '26.
Craig Mailman: That's helpful. And then maybe a quick follow-up on Forever 21. Of that 74% committed, how are TIs and concessions trending? And have you had to split any boxes leading to higher CapEx commitments? Or is it mostly single tenants you're able to find to backfill?
Doug Healey: I would say it's Doug. I would say it's a mix. In some instances, we're just simply replacing a large Forever 21 box, and that may require a little bit less capital. But in some cases, we are dividing up a box. And the reason we're doing it is because we have demand. for a long time, we've been trying to get these large-format tenants in our properties and just haven't had the space. So if there's ever a silver lining that comes with a liquidation like this, it really freed up our ability to go after some of these retailers that we've been wanting to, but just didn't have the space. Without getting into specifics, I mean, think about Dick’s House of Sport, think about Zara, think about Uniqlo, think about Round 1. I mean those are all tenants that we're replacing Forever 21. And I think going to be significantly more rent with much better retailers that -- and Jack was talking about this, that are going to drive traffic to these wings and increase dwell time within the center. So I think we're in pretty good shape. And to be 74% at this point, given the timing of their liquidation is a good thing. And if you think about it, when we did all these Forever 21 deals, they were sort of the darling of the industry. They looked at the best malls and they always got the best space. So to get back some of the space is sort of a bonus.
Operator: And our next question will come from Michael Mueller with JPMorgan.
Michael Mueller: Just a quick one on lease spreads. This year and last year, the rent spreads on the overall portfolio have been higher than what you reported for the stronger go-forward portfolio. Just curious what's driving that.
Brad Miller: This is Brad Miller. I wouldn't read too much into it. It's just the pool of leases that are being signed on each of the spaces.
Michael Mueller: Okay. So basically mix. And then actually, if I can sneak a follow-up in there. Dan, when do you think you'll be at a position where you can start to think about tightening the 2028 FFO range? Do you think it could be next year? Or do you want to get past the asset sales next year and get into '27?
Daniel Swanstrom: I think that's something we'll evaluate as we get closer to year-end and further along with the program to provide any updates. We just put out the version 2.0 at the June NAREIT, and it is a multiyear plan. So, I think we'll evaluate as we get kind of through this year and see where we're at in totality on all the initiatives across the Path Forward Plan.
Operator: And the next question will come from Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: Just one and it goes as a decent follow-up to that last one. So, on the Path Forward plan, right now, you guys have a midpoint of $1.81 and you've mentioned Crabtree is $0.08 accretive. So maybe this was more of a 2Q question, but I don't think it got asked then. Would you say the new target is $0.08 higher, so midpoint $1.89 or not exactly?
Doug Healey: Yes, that's right, Caitlin. The Path Forward plan was put out before the Crabtree acquisition. So, the midpoint of that range was $1.81. The Crabtree was expected to be $0.08 accretive. Obviously, there's adjustments along the way, for example, the ATM $50 million that we just used. But I think that's the right way to think about it in terms of the plan that was put out pre-Crabtree and then the accretive $0.08 to that plan subsequent to that.
Operator: And now this does conclude our question-and-answer session. I would now like to turn it back to Jack for closing remarks.
Jackson Hsieh: All right. Thank you, operator. Thank you, Michelle. I'd like to thank all of you for participating in our Q3 2025 earnings call. We're excited about our progress on our Path Forward plan and about the future prospects for our company. So with that, good evening.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.